Operator: Good morning. My name is Thea and I will be the conference operator today. At this time I would like to welcome everyone to the BlueLinks third quarter earnings release conference call. All lines have been placed on mute to prevent any background noise. After the speakers remarks there will be a question and answer period. (Operator Instructions) As a reminder ladies and gentlemen, this conference call is being recorded today, November 4, 2010. Thank you. I would now like to introduce Maryon Davis with BlueLinks. Miss Davis, you may begin your conference ma’am.
Maryon Davis: Thank you Thea, and welcome ladies and gentlemen to the BlueLinks third quarter 2010 conference call. With us this morning are George Judd, Chief Executive Officer and Doug Goforth, Chief Financial Officer. Our press release was issued earlier this morning. A copy of the release is available in the investor relations section of the company’s website at bluelinksco.com. Before starting the call, I need to refer you to our safe harbor statement. I would like to remind everyone that on today’s call, management may make forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including all statements concerning future or unexpected events or results. Actual results could differ materially from those projected in the company’s forward-looking statements due to known and unknown risks and uncertainties. A discussion of factors that may affect future results is provided in the company’s filings with the Securities and Exchange Commission. BlueLinks undertakes no obligation to publicly update or revise any forward-looking statements contained in these presentations based on new information or otherwise except as required by law. With that requirement completed, I’d like to remind our listeners that we have posted slides on our website. We will be referring to these slides during the call, and we encourage you to view them during our remarks. Additionally, the slide package contains an appendix of supplementary tables available for your review. Now, let me turn the call over to our Chief Executive Officer, George Judd.
George Judd: Thanks Maryon. Good morning and thank you for joining us today. Before beginning our remarks regarding the third quarter 2010 results, I’d like to comment on the termination of the tender offer for the outstanding shares of common stock of BlueLinks Holdings Incorporated by Cerberus ABP Investor LLC, or CII. As previously announced, because CII did not receive a tender of 90% for the outstanding shares, CII decided not to close the tender offer. This means that all shares of intent that had been tendered will be returned to the stockholders that own the shares, and the status of BlueLinks as a publicly traded company will not change. During the tender period we continued to focus on our strategic priorities in this difficult building products market. Our priority was to stay focused on our business and to minimize any distractions to our customers, suppliers and employees. We’re pleased to have the support of the investment community and with this distraction behind us, we’ll continue to work and earn your support in the coming years. Thank you for your support and with that, I’d like to turn the call over to Doug Goforth, our Chief Financial Officer.
Doug Goforth: Thanks George. Good morning. I’ll start with a brief overview of the quarterly results, followed by a more detailed financial review, then George will provide an operations review of the quarter and close with a final perspective. Let’s begin with the quarterly overview. During the quarter, we continued to feel the effects of volatile wood product markets and a weak economy. Average benchmark wood based structural prices increased approximately 12% from the third quarter of 2009 to the third quarter of 2010. On a sequential quarter basis, product price volatility, which began in the second quarter of 2010, continued to impact our results as average prices declined approximately 20%. Housing continues to remain weak in the wake of the expiration of the government housing tax credit. Total housing starts in September were at seasonally adjusted annual rate of 610,000 units and were 4.1% above September 2009 rate. Actual total U.S. housing starts declined .8% for the third quarter 2010 compared to the same period last year with single family starts, which our business is closely tied to, down 13.5%. The numbers suggest that the market for new home construction is stabilizing. However, it remains incredibly low by historical standards with current rates approximately 66% below 2006’s peak. The environment for home building and home remodeling continues to face substantial headwind with an overhang of lower inventory, low consumer confidence, and high unemployment. Despite the decline in actual building activity, our sales were approximately $465 million, or up 3.4% from sales of approximately $449 million in the third quarter of 2009. Overall, unit volume declined 1.2% compared to the year ago period. Specialty volume grew 1.3% as we continue to focus on increasing our share of value added products. Structural products volume declined 4.3% as demand for these products softened during the quarter and we lowered our own purchased to limit our exposure to rapidly falling demand and prices. Overall, gross margin was 10.7% for the quarter, down from last year’s 12.3%. Structural margins contracted to 7.4% from 10.6% in the prior year quarter as a result of the sharp decline in the prices for these products during the quarter. Specialty margins of 14.4% were .8% below the prior year period, but remained above recent annual historical levels. For the third quarter of 2010, we reported a net loss of $14.9 million, or $0.48 per share on revenues of $464.7 million. During the quarter, we generated $33 million in cash from operations and we had approximately $143 million in excess availability at the end of the quarter, with a cash balance of $12.9 million. Our net debt was approximately $347 million, down $19 million from the previous quarter. Now for a closer look at the quarterly financial results. For those of you following along with the slides posted on the investor relations section of the BlueLinks website, I will begin with slide five. Overall, sales for the third quarter ended October 2, totaled $464.7 million, up 3.4% or approximately $15 million from the third quarter 2009. Specialty sales increased 2.5% year over year reflecting increases in both volumes and pricing. Structural product sales increased 5.9% from the same period last year. The increase was driven by a 10% year over year increase in product selling prices, partially offset by a 4.3% decrease in units sold. Specialty products comprised 55% of total sales, slightly down from 56% in the third quarter of 2009. BlueLinks generated approximately $50 million in gross profit for the quarter. Gross margin was 10.7% which is down 1.6% from the prior year quarter. Both specialty and structural margins contracted relative to the prior year quarter as we continue to feel the effects of the volatile wood markets, high priced inventory and slowdown in demand. Not only are our structural products impacted by movements in the wood market, but portions of our specialty business, which includes specialty lumber and other wood based products, are also impacted when we see extreme pricing volatility. Operating expenses for the quarter totaled $57.2 million for a decrease of $1.7 million, or 2.8% from a year ago. Operating expenses for the current quarter included three significant special items. First, we received $5.2 million from a litigation settlement. Second, we incurred $3 million in legal and other professional fees associated with the terminated tender offer, and third, we recorded approximately $300,000 in severance costs related to changes in our western operations that George will comment on later in the call. After adjusted for the significant special items, operating expense increased approximately 10 basis points compared to a year ago, while our out of warehouse revenue, which impacts our logistics costs increased approximately 170 basis points. The overall level of expenses in the quarter reflects the company’s success in growing revenue faster than our operating expenses. The company reported an operating loss for the third quarter of $7.3 million, compared to an operating loss of $3.6 million in the prior year period, reflecting a $54 million decrease in gross profit, and a $1.7 decrease in operating expenses. Our third quarter net loss of $14.9 million or $0.48 per diluted share compares with a net loss of $13.5 million or $0.44 per diluted share in the third quarter of 2009. Our reported net income for the period is after interest expense of $8.1 million, which includes $1.2 million in pretax non-cash interest income related to our interest rate swap, compared to interest expense of $9.4 million in prior year period, which included a $1.4 million pretax non-cash charge associated with our interest rate swap. The current year net loss is after a benefit of $787,000, which includes a tax refund of approximately $660,000 related to our 2009 amended return compared to a tax provision of $120,000 in the prior year period. As discussed on prior year calls, during the first quarter of 2009, BlueLinks provided a valuation allowance for 100% of its U.S. deferred tax assets. As a result, the company’s tax provisions in future periods consist of income taxes on earnings of Canadian operations and certain state income taxes, but generally will not include any income tax benefit related to its U.S. operations. Looking at year to date results, on slide six, sales for the nine months ended October 2, totaled approximately $1.4 billion, up 12% from the same period last year. Gross margin of 11.6% equaled the year ago period. Year to date reported operating expenses increased approximately 12% from the same period last year, with both the 2010 and 2009 periods benefiting from net gains from significant special items of $1.9 million and $20.1 million respectively. The resulting operating loss of $11.7 million compares to an operating loss of $11.5 million for the year ago period. EBITDA declined $3 million over the prior year period, reflecting increased gross profit and the unfavorable impact of operating expense increases, which resulted from net gains on significant special items in the prior year period. The year to date reported net loss of $33 million or $1.08 per share compares with a net loss of $73.5 million or $2.37 a year ago. Turning to cash flow on slide seven during the quarter we generated $33 million in cash from operating activities which compares with net use by operations of $6.3 million in the third quarter of 2009. As we have stated on previous quarterly calls, we are highly focused on tightly managing our working capital items, while serving the needs of our customers, suppliers and shareholders. We believe our third quarter results reflect these efforts as we took steps to make sure our inventory remained in line with the declining demand. Cash use and financing activities was approximately $37 million for the quarter, driven by a $23 million increase in outstanding borrowings under our revolving credit facility, a $6 million decrease in bank overdrafts, and $6 million of debt financing costs related to the extension of our asset based lending facility to January 2014. The resulting cash balance at October 2, was $12.9 million compared with $25.5 million a year ago. Moving to slide eight, we had approximately $143 of excess availability under our revolving credit facility at quarter end. The combined debt balance on our mortgage and revolving credit agreement was approximately $388 million, a decrease of $22.7 million from the second quarter 2010. Net debt at the end of the third quarter was approximately $347 million compared to $366 million at July 3, and was up approximately $48 million from a year ago. Turning to slide nine, cash cycle days for the third quarter totaled 51. That compares with 49 days for the second quarter of 2009, and improved one day compared to a year ago. Our performance in this area reflects our daily efforts to manage our working capital risk. Now let me turn the call back over to George.
George Judd: Thanks Doug. The third quarter business conditions remain challenging for our industry and for BlueLinks. As I said previously, we can’t control the external environment, but we can work hard to manage those things we can control, and that’s what we did in the third quarter. We grew sales in an extremely difficult market with both specialty and structural revenue growing over the prior year period. We aggressively managed our operating costs. We managed our cash flow well, generating cash from operations in the quarter, and we continued to provide superior service to our customers and our suppliers, and we continue to position BlueLinks for success as business increases with economic recovery. We grew third quarter sales 3.4% over the same period last year in a weak environment that saw actual total housing starts decline .8% and actual single family starts, and you know that’s a larger percent of our business, declined 13.5%. On a year to date basis, we’ve grown sales 12% while actual housing starts have increased 8.5%. The overall level of expenses in the quarter reflects our focus on growing revenue faster than our operating expenses. We aggressively managed our operating costs. After adjusting for significant special items, our costs are only up .1% for the third quarter and .2% year to date compared to the same periods last year, so year to date; we’ve handled 12% more business and increased our costs by only 2%. We maintained our focus on cash flow during the quarter. We entered the quarter anticipating a seasonal upswing in sales and sized our inventory levels accordingly. When the seasonal upswings didn’t materialize and prices for wood based products fell, we worked hard to manage our inventory levels to the current demand environment, generating approximately $31 million in cash flow. We curtailed certain inventory purchases during the quarter as we sought to improve our margins and reduce our inventory exposure. Our inventories are costed at market, and I’m very happy with our inventory position. Our inventories are clean, saleable and costed at market. We continue to tightly manage our accounts receivable portfolio and our credit approvals to ensure that we’re selling to customers who will pay us in a timely manner. We work together with our customers to evaluate and adjust credit terms as needed we’ll continue to do so in the coming months. We have aggressively managed inventories, receivables and kept tight controls on our cost structure without diminishing our ability to achieve our business objectives. During the quarter, we continued our commitment to build strong alliances with strategic vendors and to provide valuable service to our customers. We continue to utilize our extensive national logistics and warehousing capability to grow traditional building product businesses and explore opportunities outside of our traditional customers and products. For example, we recently began shipping to some of the most recognized and products in solar technology to our portfolio brand, Pure Sky Solar. We are one of the first to bring this opportunity to our building product customers, making solar products more obtainable to home owners and builders through one source. Currently we have sales in solar products in approximately 20 markets across the country. We continue to look for ways to improve the efficiency of the supply chain through global sourcing opportunities and through enhanced domestic partnerships. Now I’d like to take this opportunity to update you on further changes we’ve made in our western operations. As announced last quarter, we hired a new senior leader for this region, and after months of review and detailed assessment to determine how to best improve the operational performance of the region, we have made additional organizational changes. These changes are designed to bring BlueLinks closer to the markets we serve and to enhance our customer focus. Our strategy is to continue to be a national distributor serving all major markets. With these changes, we are well positioned to provide the superior customer service our customers expect. We continue to look at all markets and businesses within BlueLinks, and we’ll make necessary changes in investments to improve our results. There continues to be uncertainty around the macro economic factors that drive our business and while the short term environment is difficult, I believe housing will recover as employment grows again and along with the general economic recovery. Our management team, our Board of Directors and our shareholders continue to believe in the long term strength of the housing market. We expect a challenging fourth quarter, which historically is slow for our housing related businesses. Nevertheless, we believe we are taking the steps necessary to continue progressing in this environment towards our long term objectives. In closing, since we can’t control the external environment we’re going to work to ensure our company is well positioned in this challenging environment and ready to capitalize on opportunities when business resumes to a more normal pace. I believe the actions and decisions we are making each day position BlueLinks to win in the long term. With that, operator, I’d like to open the call to questions.
Operator: (Operator Instructions) We do have a question from Steve Chercover with D.A. Davidson.
Steve Chercover – D.A. Davidson: Hi. Good morning George and Doug.
George Judd: Morning Steve.
Steve Chercover – D.A. Davidson: I guess my first question is your mortgage at 6.35% through 2016, and maybe this is a difference between commercial and residential mortgages, can you lower your rate on that?
George Judd: We would have to go out and refinance. At 6.35% we’re not – that’s not something that we currently have on the table Steve.
Steve Chercover – D.A. Davidson: OK. That obviously ...
George Judd: And there are things within that mortgage as well. You have to do prepayment, yield maintenance penalties to pay it off, so it wouldn’t make sense for us at this point.
Steve Chercover – D.A. Davidson: I’m sure you’ve done all the math behind that, so just seems I guess a residential mortgage holder, people can do better, but ...
George Judd: Absolutely, on a residential basis, you can do better. Again, with our mortgage, right now the yield maintenance which is based on seven year Treasuries is in the high 20%. You’d have a yield maintenance penalty up front and then to pay that mortgage off, and again, the math just doesn’t work. And I’m not even sure how much we could get, how much we could improve 6.5% if we even could, because it is a commercial property.
Steve Chercover – D.A. Davidson: Great thanks. And staying as a simpleton, can you simplify your lack of profitability as – there just isn’t sufficient volume across the system to make any given jurisdiction profitable. Is it a volume problem?
George Judd: Well see as a company, the answer is yes, it is a volume problem. We’re having a difficult time of constantly adjusting to make our company profitable at the housing market as given. So 600,000 starts, we obviously were unable to generate a return. However, I’m not sure if I just heard this or that the question is, with regard to some markets, the majority of our markets are profitable and that’s why we’re making, aggressively making some changes with our team and with our structure and constantly tweaking to help those facilities in those markets that are not profitable, and we continue to invest in those, but the vast majority of our facilities are making a positive return for us. And there are some markets that are just losing a lot of money.
Steve Chercover – D.A. Davidson: At the bottom line for the corporation in general, but you aggregate all the state distribution centers, it’s insufficient to bring the entire corporation to profitability. I’m just wondering what can be done? Because I believe you know if you can’t make money, then no one’s probably making money distributing building materials, but yet I believe it’s ultimately an essential service. Someone’s got to do it.
George Judd: We’ve got to grow our specialty sales at a faster rate. That’s the reason for many of the changes that we’re making. That curve we are growing, and we’re growing in most markets at a constant pace. We’ve got to accelerate that pace. That and – this quarter, we’ve been doing this a long time as you know, I haven’t seen structural prices decline at any rate anywhere near what we saw during the quarter, and although we turn those inventories very quickly, we had negative margins in most markets on our structural products for periods during the quarter, and that drove our margin down considerably, as we did go into detail on our structural margins and how far those had declined. And then normally, in a normal range of structural price volatility, the impact on our specialty business is small. But when wood prices fell by half through the quarter, those price declines carried into some of our specialty businesses and so we saw a drain on our specialty margins. But if – our strategy is quite simple. We need to grow our specialty business. We need to get paid for that service and we need to limit our costs, and we can be a profitable company. And I think that’s our plan. That’s what we spend all our time trying to achieve, and this quarter we certainly had a major curveball with this pricing dilemma that we had.
Steve Chercover – D.A. Davidson: Well we certainly do live in interesting times. If you could throw out a single point where you believe the top line would be sufficient to generate profitability for the company in aggregate, would that be $2.5 billion or ...
George Judd: A revenue point?
Steve Chercover – D.A. Davidson: Correct.
George Judd: It all depends on this mix, right? We could $2.5 billion and lose more money if we grew our specialty business in a volatile time, so it’s more complex than that. We really have to grow that specialty business and continue to do that, but we don’t need a lot of room to make up those losses that incurred during the quarter.
Steve Chercover – D.A. Davidson: OK. My final question is how would you characterize the dynamic in the boardroom these days or at Board meetings? I mean previously, I think you characterized Mr. Suwyn being a supportive majority shareholder. Given what’s transpired over the last three months or so, is that still how they are?
George Judd: Yeah, absolutely. I think if anything it just shows that the belief in the company and we have a Board meeting next week. We’re expecting it to go very well and Mr. Suwyn has never been anything but supportive for BlueLinks.
Steve Chercover – D.A. Davidson: Great. I’ll turn it over. Thank you.
Operator: The next question will come from Alan Weber with Robotti & Co.
Alan Weber – Robotti & Co.: Good morning. When you made a comment about most of the markets are profitable, or most of your warehouses I guess are profitable, is that kind of before you kind of factor in corporate allocation and interest? What do you mean by that actually?
George Judd: Well the reality is that we have facilities in many markets that are profitable no matter how we allocate corporate costs. We have some that are in the middle that when we allocate corporate costs where we don’t which we have to pay for our corporate costs, become unprofitable. But we have some facilities that even if we don’t allocate corporate costs, are unprofitable, and we’re spending our time making sure that business grows, that those businesses improve, and that’s where we spend a lot of time with some leadership changes, some product mix changes and even some structure changes in the last five or six months to change that outcome, and as the market comes back, those will be very successful businesses. One of my strategic beliefs is that we have to be a national distributor to serve our national customers and that national customer base is a growing group. Whether it’s Home Depot or Lowe’s, or whether it’s the Pro Builds and the Builder’s First Sources and the stock building supplies, the 84 Lumber, the large customers that carry, that cross large markets. We have to have a good service proposition for all of them, and it’s our responsibility to our shareholders to make sure that we make money in all those markets. And so we’re trying to stay in that, keep our national footprint and make sure every one of those markets contributes to our earnings.
Alan Weber – Robotti & Co.: And just on that note, in some of the markets where you’re not profitable, is it just really due to, even more than the 66% decline because you don’t have housing starts down equal in all markets. Is it just because some markets are down so much or is it just something in those markets that make it more difficult to operate?
George Judd: Both. There’s lots of factors, right. There’s markets that, California and Florida and Vegas and Phoenix and places like that that we all read about and hear about that are just really, really tough housing markets. There’s other markets that didn’t fall as quickly. But, that being said, I don’t know that we’ve done everything in every market as quickly as I would have liked, and thus the need for some change. So there’s always opportunity. There’s opportunity in our most successful markets to do better, and that’s what we’re trying to do. I think that part of it has to do with our share in those markets. If our share is higher, even if there’s fewer starts or fewer opportunities, if our share is higher, then our results are better. We have got to grow our share in some of our underperforming markets.
Alan Weber – Robotti & Co.: You made a comment about the customers being more national. Can you just talk about the competitive side in terms of your business given the downturn, whether you’ve seen – are there any that have gone out of business? So when and if the recovery comes, you should get your share of revenues.
George Judd: Yeah, I guess I’ll elaborate on the comment. There are a large group of customers that are national, or multi-regional, and we need to serve those customers. Actually, we see a resurgence of the independent lumber dealer in many markets where they may have sold to a consolidator and they’re reopening as an independent location or a family owned business again. So we’re seeing some of that. But the opportunity as things come back, we’ve had hundreds, thousands actually, of customers close locations, and we’ve had hundreds go out of business. So there are far fewer retail lumber outlets in North America today, than there was in 2006 certainly. And when business comes back, that business will be with fewer customers and those are the customers that were successfully able to navigate this housing market that we’ve had for the four and a half years.
Alan Weber – Robotti & Co.: I understand that. Also, on the competitive side in terms of other competitors of distributors, have you seen a reduction in the number of actual distributors?
George Judd: Yeah, we’ve seen smaller regional in some markets close. We’ve actually seen more of that recently than we have in the last couple years. We have many of our competitors that have left certain markets, and they’ve shrunk their footprint from multiple locations to just one or two or a handful. So there’s definitely pain being felt by all of our competitors and they’re all running their businesses to the best of their ability and making those decisions that suit them best. And it’s ever changing. It changes every day.
Alan Weber – Robotti & Co.: My last question was, when you talk about the specialty products becoming 60%, assuming flattish pricing or more moderate pricing, with that we would get a higher gross margin percent. Is that correct?
George Judd: Yeah, and we’ve seen that. If you go back through BlueLinks’ history, you’ve seen our specialty business grow and our blended margin increases.
Alan Weber – Robotti & Co.: OK great. Thank you very much.
Operator: There are no further questions at this time. I would like to turn the conference back over to Mr. Judd for any closing comments.
George Judd: Well thank you all for joining us today and thank you for the questions, and we look forward to speaking with you again next quarter.
Operator: Ladies and gentlemen thank you for participating in today’s conference call. You may now disconnect.